Operator: Good morning. My name is [Kaneesha], and I’ll be your conference operator today. At this time, I’d like to welcome everyone to the Verisk Analytics’ Fourth Quarter 2011 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks, there will be a question-and-answer session. (Operator Instructions) Thank you. Ms. Eva Huston, you may begin your conference.
Eva Huston: Thank you Kaneesha, and good morning to everyone. We appreciate you joining us today for the discussion of our fourth quarter and fiscal year 2011 financial results. With me on the call this morning are Frank Coyne, Chairman and Chief Executive Officer, Scott Stephenson, President and Chief Operating Officer, and Mark Anquillare, Chief Financial Officer. Following some comments by Frank, Scott and Mark, highlighting the key points about our strategic priorities and financial performance, we will open the call up for your questions. The earnings release referenced on this call as well as the associated 10-K can be found in the Investor section of our website at verisk.com. The earnings release has also been attached to an 8-K that we have furnished to the SEC. A replay of this call will be posted on our website and available by dial-in for 30 days until March 29, 2012. And finally, as set forth in more detail in today’s earnings release, I will remind everyone that today’s call may include forward-looking statements about Verisk’s future performance. Actual performance could differ materially from what is suggested by our comments today. And information about the factors that could affect future performance is summarized at the end of the press release as well as contained in our recent SEC filings. And with that, I’ll now turn the call over to Frank Coyne.
Frank Coyne: Thank you, Eva, and good morning. In the fourth quarter 2011, we delivered strong performance of almost 20% revenue growth and over 25% diluted adjusted EPS growth. Our performance for the fiscal year was also strong with 17% revenue growth and 25% diluted adjusted EPS growth. These results are evidence of our discipline in execution. We are pleased that the market has recognized this through the strong performance of our stock price in 2011. We performed well in many of our businesses and our recent acquisitions also contributed. Risk assessments grew 3.9% for the quarter and the full-year, as our continued value to customers is reflected in our revenue growth. We also saw improvement in property specific revenue growth in the quarter. In the quarter Decision Analytics revenue grew almost 35% and our insurance solutions in Decision Analytics grew almost 15% organically. For the full-year Decision Analytics grew almost 30% with similar growth from our insurance solution. Our healthcare solutions revenue grew almost about 37% organically in the quarter as we continued on the double-digit growth trajectory we started to see in the third quarter. Overall, our organic revenue growth was 7.6% in the quarter and for the full-year. Decision Analytics organic growth in Q4 was 11%, driven by both strong growth from insurance-facing solutions as well as the accelerated growth in healthcare. The mortgage market remained challenging with the macroeconomic conditions continuing to work against us. We continue to have conviction around our margin and overall profitability. We are pleased to deliver 25% growth in diluted adjusted EPS for 2011 and over 16% growth in EBITDA, while expanding margins to over 46% excluding the recent acquisitions. As always, we remained focused on delivering shareholder returns. We remained determined to find attractive M&A opportunities to take advantage of our substantial balance sheet flexibility. We bought $41 million of shares in the quarter, a lower amount than in previous quarters as we managed our buyback as part of our broader capital allocation plan including acquisitions. We remained interested in using our capital as appropriate for buybacks is evidenced by our $300 million new authorization announced in January 2012. As I look forward to 2012, I see a consistency in our business plan, but also new opportunities on the horizon. I have confidence, we can continue to execute on that plan and realize attractive growth from the insurance base. We have set our healthcare business on a positive path to continue to grow and expand its footprint. I also think 2012 will bring more opportunity in our supply chain business as we work to leave our solutions in analytics together and also continued to pursue acquisitions in the space. Mortgage is likely to remain a soft spot for 2012, but we are also ensuring that we use our skill sets in ways that meet the evolving needs of the mortgage market as well as across the broader financial services sector. Now I’ll turn it over to Scott to talk about the progress we are making in a number of our business areas.
Scott Stephenson: Thank you, Frank. I talked about innovation and it remains a key focus of our execution plan. Innovation means a lot of things to a lot of people, but to us it is about both staying ahead of the market as well as meeting your customers where they want you to be. We continue to invest in new products and we’re committed to this as a constant insight of our plan. While our margins continue to expand and we must also ensure that margin expansion does not come at the expense of future growth. One great example is the investment we’re making in our unified healthcare technology platform which will be a 2012 and into 2013 project and we will provide simplified workflow for our customers. We’re leveraging the platform we acquired in the Bloodhound acquisition and are consolidating our fraud and abuse analytics and creating a data submission standard that will power both the front-end underwriting and back-end fraud solutions, thereby improving our customers ease of use and facilitating our ability to cross-sell. We're working to move closer to clinical data; it will be very useful inside of our overall analytic approach. Another example of investment is our next generation platform and the expanded parallels for our catastrophe models which will help our customers use our tools in broader ways than in the past including in making underwriting decisions. We're investing over $10 million between these two projects, both of these projects are a result of us seeing our customers needs and pinpoints and working to make our solutions not just the best analytical tools, but also the ones that are easiest to use. Another focal point for us is integration, which is quite important as we grow. The unified healthcare platform I discussed is an example of how we're quickly moving to bring our recently acquired HRP and Bloodhound assets together with the rest of Verisk health. And the creation of our underwriting solutions group also shows our ability to successfully pull together relevant parts of our organization. The underwriting team has brought together a number of our underwriting tools with a particular emphasis at this point on personal lines to provide a more holistic view of our customers underwriting process and create efficiencies. The formation of this group which was announced in January will not change any of the financial reporting structures you see, but our team will be rewarded for their success. We expect that continuing to evolve our business organization as needed, will further align our customer success with our own. For those of you who are going to attend or listen to our Investor Day on March 8, you will hear more about these projects and initiatives as well as hearing directly from our business unit leaders whose passion and creativity and discipline are what will drive our company forward. These are the people who are looking to expand and re-imagine our position in the market to enlarge our growth opportunity and I hope you have the opportunity to spend time with them. And with that, I’ll turn it over to Mark, to talk about our corporate financial results.
Mark Anquillare: Thank your, Scott. As Frank noted in the fourth quarter we delivered 19.9% revenue growth and 7.6% organic revenue growth. And for fiscal 2011, we delivered 17% revenue growth also with 7.6% organic revenue growth. For the fourth quarter and fiscal year our Decision Analytic segment revenue continued to lead with 34% and 28.9% growth respectively. The Decision Analytics revenue growth organically, which was 11% in the quarter and for the fiscal year excludes the acquisitions of Crowe Paradis, 3E, Bloodhound and Health Risk Partners. For 2011, we've converted our Decision Analytics revenue categories to those we previewed with you in the supplemental revenue data provided in the third quarter. We've received positive feedback from the market on the transparency of this financial data. Going forward we’ll use the vertical categories to report within Decision Analytics. We've not changed any of our historic financial results and our segment reporting remains the same. Last quarter we provided historical information in these same categories back to 2008 full-year reference. As a reminder, we’ve grouped revenues by the primary end-market of the various parts of our businesses. In insurance, key solutions include insurance fraud solutions, including claim search, our catastrophe modeling solutions from ARR worldwide, and our insurance loss quantification solutions from Xactware. This grouping is the same as we’ve referenced in the past as insurance-facing solutions and Decisions Analytics. In mortgage and financial services, we include our Interthinx underwriting and forensic audit tools facing the mortgage market as well as our strategic analytics businesses which also serve other consumer finance markets. Starting in first quarter of 2012, we’re also including our ACI, property appraisal tools facing the mortgage market in the mortgage and financial services category to reflect a management reporting change that split the mortgage appraisal tools from the appraisal tools used in the insurance space. These mortgage appraisal tools represent about $11 million in revenue 2011 with lower margins in the remainder of risk assessment. These financial contributions which were previously reported is part of property’s specific revenue grouping in risk assessment. Healthcare includes all of the Verisk’s health tools including DxCG, [Suremed], D2Hawkeye, HDI, Bloodhound and Heath Risk Partners, and specialized markets includes our Climate Risk Analytics provided by our AER business as well as the 3E component of our supply chain risk management solutions. Within Decision Analytics our insurance category grew 19.5% in the fourth quarter and 14.6% organically. For the fiscal year, revenue from the insurance category grew 21% and 14.6% organically. We continue to benefit from the growth in our claims tools as well as the cumulative effects of higher claims volumes due to 2011 weather events, which drive additional transactional revenue when customers exceed the maximum contracted claims volume totals. We also had some benefit from custom work for large customer, and continue to see growth in underwriting tools and newer solutions, such as content type information within loss quantification. We’re generating revenue from our international expansion. We plan to grow its contribution over time, to help procure model transition to our new categories inside Decision Analytics. Our revenue formally reported its loss quantification grew 27% in the quarter. We’ll not be reporting this separately going forward. In the quarter, catastrophe modeling solutions continued double-digit growth due to new and expanded customer relationships from our core catastrophe model products. When we observed the market share over the past year, we’ve increased for both the commercial and personal lines primary carriers, evidence of the cross-sell success. We also had a good quarter for both our core catastrophe models for investors as well as for catastrophe bond projects in area, which our market shares are over 85% in 2011. Our insurance fraud claims also continued good revenue growth. The revenue in mortgage and financial services declined 7.2% in fourth quarter, and declined 1.9% for fiscal year 2011, reflecting a weak macro-environment originations and the downward trend in the number of loans that are delinquent, defaulted, or in foreclosure. Based on those trends, revenue from both underwriting and forensic solutions declined in the quarter and in the fiscal year as new customers and increased usage by existing customers was not sufficient to offset the double-digit decline in origination versus 2010. On the forensic audit side, revenue continue to decline as new customers were not enough to offset the lower volumes of large customer, we’ve previously discussed. Our outlook for 2012 from mortgage remains negative, as the current market makes it difficult to predict trends for the majority of our products. It is possible the trends seen in the fourth quarter on revenue continue throughout 2012. However, we remain focused on building our skill-sets for opening solutions such as contract underwriting and other tools to respond to current and long-term trends in the market. Healthcare continues to prove out the opportunity we’ve spoken about, with total growth of 170.2% for the quarter, and 37.3% organic. This shows nice progress building on over 25% organic growth in third quarter of 2011. Our total growth continues to benefit from the additions of Bloodhound and HRP in 2011. Our organic growth is also benefiting from our consolidated approach to selling our tools. We deliver about 20% of organic growth for all of 2011. Our HRP revenue is weighted about 70% to the third and fourth quarters as the season from Medicare Advantage reviews kicks in that. So, I’d expect that the portion of healthcare revenue would be at lower levels in first and second quarter than in fourth quarter, but at a high-level than the related period in 2010 prior to the acquisition. Our specialized markets revenue grew 134% in fourth quarter, and 181.3% for the fiscal year 2011. Total revenue growth included the acquisition of 3E in December of 2010. Organic revenue growth declined 1.6% in the fourth quarter as a result of government contracts for weathering analytics that began in 2010 as it reached its full quarterly value as well as governmental budgetary delays in 2011. Organic revenue in this category grew 12.4% for the fiscal year 2011. We continue to look for ways to repurpose our weather analytics into the insurance and supply chain markets, and we’re excited about the ability to continue to build on our capabilities of 3E to broaden our supply chain offerings. Turning to risk assessment, we grew revenue at 3.9% in the quarter and for the fiscal year 2011. Our industry standard programs grew 4.9% in the quarter, a continued reflection of the value-based price increases in January 2011 in the moderation of premium declines at our customers as well as new customers in 2011. Our premium linkage solutions also continued to add growth. Our property specific information revenues return to modest growth of 0.5% in the quarter as lower transaction volumes with certain customers were offset by increased use of property appraisal tools. About 85% of our revenue in risk assessment is based on subscriptions and long-term contracts, with 99% renewal rates recurring in fairly predictable revenue for a vast majority of the segment. As we think towards 2012, we expect to see the benefit in risk assessment due to our new invoices, although premium growth remains negative in 2010. And we try hard to be sensitive to our customers as well as to position ourselves for cross-sell opportunities. Overall, we’re comfortable with our enterprise performed even in the face of specific market issues from the mortgage business. Excluding the mortgage business, organic growth was 9.6% in the quarter and over 9% for the full-year. EBITDA for the fourth quarter was $158.4 million and $592 million for the full-year as outlined in Table 3 of our press release. EBITDA increased 20.5% for the quarter, and our EBITDA margin was 45%. Our consolidated EBITDA margin increased in the fourth quarter, compared to 44.4% in the third quarter of 2011. Excluding the impact of acquisitions, EBITDA margin was 46.6% in the quarter, and also excluding the benefit of the reduction in earn-out provision 45.8% for the fiscal year 2011. In the quarter our risk assessment margins were 51.4% versus 51.3% in the fourth quarter of 2010, and 50.5 in the third quarter of ’11. Our business continues to show scaled profitability while we continue to invest in developing new solutions. The margin in Decision Analytics was 40.7% in fourth quarter versus 40.1% in third quarter of 2011. Improving the underlying margins of several of our businesses as well as a mix shift to higher margin solutions benefited us in the quarter partially offset by the impact from the mortgage business. Our interest expense was flat in third quarter – flat with third quarter of 2011 as the increased interest associated with the bond offering December was reflected in only part of the period, and was offset by decreased borrowings under our credit facility as a result of the refinancing we completed in early 4Q. Our $250 million bond was our second public bond issuance and was closed on December 8th with a 4.875% coupon and maturity of January 2019. With the bond proceeds we repaid the entire outstandings leaving $725 million available on our revolver. We continue to be opportunistic in the debt markets, and in 2011 created valuable committed debt capacity and public market access that can be used as a part of our strategic acquisition program. We ended fourth quarter with total debt of $1.1 billion and a debt-to-EBITDA ratio of 1.87 times, leaving us a bit below our target capital structure of two times. Our run rate interest expense for 2012 based upon our debt outstanding trend, all of which was fixed rate is approximately $65 million. Our reported effective tax rate was 35.5 for the quarter down due to favorable audit settlements and resolutions, the continued execution of our tax planning strategies and the benefits associated with R&D legislation. For the full-year our reported effective tax rate was 38.6%. For 2012, we are expecting rate inline with our historical rate of approximately 40%. Coming down to the net income line, we focused on adjusted net income and non-GAAP measure which we defined in the current period as net income plus acquisition related amortization expense, less income tax effect on that amortization. Our adjusted net income increased 22.2% to $85.5 million for the quarter and grew 16.3% to $303.6 million for fiscal 2011. Adjusted EPS on a fully diluted basis was $0.50 for fourth quarter 2011, an increase of 28.2%. The average diluted share count was a 170.5 million in the quarter and on December 31, 2011 our diluted share count was 170.9 million shares. In the quarter we repurchased 1.1 million shares for approximately $41 million. At quarter end, we had about 7 million left under our authorization. In January we announced additional 300 million to be added to that. In fiscal 2011 we repurchased 11.3 million shares for a total purchase price of 381 million. Our approach to share repurchases remained focused on limiting dilution and only going beyond that we believe the purchase will deliver appropriate economic returns and not prior to acquisitions. Our share repurchase program is successful to-date generating annualized IRRs of over 20%. Turning to our balance sheet as of December 31st, our cash and cash equivalence were $192 million, reflecting the remaining proceeds from a bond offering in December that were not used to pay the bank debt. Total debt both short-term and long-term totaled just north of 1.1 billion at December 31st, up slightly from third quarter 2011 as we funded share buybacks largely with cash on hand and cash from operations. Our debt-to-EBITDA ratio was about 1.87 times at year-end, well within our covenant. Our debt capacity is about $675 million and will continue to grow as our free cash flow generation and as we had EBITDA of acquired companies. We intend to use somewhere between $70 million to $90 million of our cash on hand in the first half of 2012 to fund our pension plan above the required funding levels to bring it closer to a full funded status. Free cash flow in 2011, which we defined as cash from operations, less capital expenditures was $307.3 million, an increase of $12.3 million versus 2010. Free cash flow increased 4.2% in 2011 and the 11.8% increase in cash from operations partially offset by increased capital expenditures which totaled about $68.4 million for the year including capital expenditures related to our acquisitions. Our capital expenditures were 5.1% of revenue as a result of the investment period and a periodic upgrade to our computing environment as well as continued investment in the business. We continued our strong free cash flow conversion of EBITDA which was 52% in 2011. In our 10-K we stated that we expect capital expenditures to be approximately $75 million in 2012. Overall, we had a good year with strong growth in both revenue and earnings reflecting both our discipline and execution on strategy. With that, I’ll ask the operator to open the line for questions.
Operator:
David Togut - Evercore Partners Inc: Can you quantify the price increase that you invoice to your customers in the risk assessment business in January of this year?
Mark Anquillare: Well, I don’t think we typically provided that level of detail. But I think what we -- we have always said that we want to try to put in place some type of inflationary type of increases. We think that’s reflective of the value that we add. And in the center premiums which are a component of that invoice start to harden up, which remember our 2012 invoices are really reflective of 2010 premiums is still a difficult time for our customers that will add and certainly provide a little bit of a tailwind in the future, but that will be more into 2013 than ’12.
David Togut - Evercore Partners Inc: Do you have a specific expectation for the record premium growth for 2011 as a whole and 2012 based on the trends you see with your customers?
Frank Coyne: Well, we don’t have a specific number expectation. All the signals and information indicate that the soft market has bottomed out and we’re going to have a gradual increase in premiums going forward.
David Togut - Evercore Partners Inc: And then can you be a little bit more granular about the underlying drivers of the accelerating growth within the healthcare vertical and to what extend would these be sustainable in 2012?
Scott Stephenson: Yeah, there is a lot of different things that contribute, some of the things that would sort of rise to the top would be we have had a lot of success in selling new business and I suppose the acquisition of new customers as well as the penetration of newer parts of our portfolio into existing customers. So the cross-sell themes that we talk about a lot is that work in the healthcare business as well as in insurance. And then in addition to that we have actually streamlined some of our processes which have permitted us to actually accelerate the rate at which we implement. Some of what we do in healthcare is transactionally priced. And so getting the implementations ramping faster is – has benefited the revenue. There is no reason why our process will change, so I think that the efficiency of our implementations will stay high and we still think we have a very large cross-sell opportunity in front of us in healthcare.
David Togut - Evercore Partners Inc: Scott, you highlighted 10 million of incremental investment for 2012. Can you give us a little bit more insight into potential operating leverage for 2012?
Scott Stephenson: Well, we continue to do the things that basically have gotten our margins to the point that they are at right now. So the first thing is just to run the business with a great deal of discipline. I’d say on top of that a very powerful and a very long-term trend inside of our business is just the -- the way in which cost related to computing storage and network are always moving in the right direction. And so we are always looking for opportunities to change our internal environment as it relates to automation and we are going to continue to do that. So it’s – I don’t think there are new themes there. We are just going to continue to press them into our business.
David Togut - Evercore Partners Inc: Just a final question if I might, for Mark. Could you talk about capital allocation priorities for 2012? You have highlighted a 307 million left in your share repurchase authorization. I mean how do you compare value of your current stock versus acquisition and your pipeline?
Mark Anquillare: Well, first of all -- I think we try to highlight that. We did go to a larger authorization in January that does not change our approach in anyway. We remain committed to investing our business first and foremost, that is with other -- in total investment which typically takes the form of expense inside our P&L. But acquisition would -- will be at top of that list. We have committed to buying back shares to limit dilution, and to the extent that we have the ability to buy more, it’s probably because we are trying to for the most part balance between acquisition and buybacks. Our continued commitment is to make sure we deploy that in a disciplined way. And I think we’ve been successful in trying to make sure we think about it in the right economic way before we deploy capital.
Operator: Question comes from Eric Boyer from Wells Fargo Securities.
Eric Boyer – Wells Fargo Securities, LLC: Margin question again. How should we think about the margin moving forward, the pace of acquisition slowed in the back half of 2011 and you exited the end of the year at the top end of that longer term guidance range. I guess the question is will you manage the margins moving forward if the pace of acquisitions are slower or reinvest to keep the margins in that longer term rage or could we see the margin moving up above on an annual basis?
Mark Anquillare: Let me start with that. I think the first answer to your question is we are thinking about the long-term. So we are going to make the right investment if we think we are going to be able to generate cash for our shareholders and grow the business in long-term. That’s our foremost. So, managing margin is not something we think about day to day. We think about trying to find the right investment and deploying capital the most effective way possible. So that’s a broad perspective. More specifically we do think there is natural operating leverage inside the business, we would imagine that should scale and remain – continue to scale offset by some investment. The other thing is a little bit of product mix shift. Obviously, the risk assessment business and some of the insurance-facing solutions have some nice margins as healthcare grows there’s a product shift there or about product mix shift there. We have good margins in healthcare, not as high as some of the healthcare – some of the insurance-facing, and then clearly offsetting some of the margin expectations in the future is, what's going to happen with mortgage and those are a couple of the variables that we think about as we continue to hope to drive growth and cash flow into the future.
Eric Boyer - Wells Fargo Securities, LLC: Along the same lines, you talked about the acquisitions that you did in 2010, and ’11 having an impact of 160 basis points. Now where are you in the progression of improving those margins for those acquisitions and how should we think about that impact in 2012?
Mark Anquillare: So, let me give you, maybe at a high-level some of the numbers and maybe Scott, to talk integration. So I think that’s a great theme. First of all, what we tried to highlight is because of the size of both 3E and in Crowe Paradis back in December, we knew that it was going to hurt us to the tune about 1.8%, just because they were very profitable or just the margins were not as high as. We continue to believe and we’ve seen natural scale and operating leverage in each of those businesses. So as you now look forward, I think we are on kind of a run rate that we don’t have to worry about any adjustments and each of those business in and of themselves do have natural scale to them. Scott, maybe …?
Scott Stephenson: Yeah that’s – on top of that, there’s two themes with respect to integration. The near-term one is the less powerful one as it relates to near-term margins, but there is an effect there and that is, we consolidated account management functions and selling across the different parts of Verisk Health, so we do get a little bit of efficiency there. Much more importantly, we’re more coherent in front of the customers, and that’s the primary reason we did it. The longer-term drive to efficiency post-acquisition has to do with the creation of this unified platform that I mentioned earlier which will allow us to essentially have one definition of data regardless of which of our solution sets we’re talking about, and so the creation of our data assets, the warehousing of the data, and the use of the data inside of the analytic engines, all of that will respond positively and become more efficient as we get that put in place. And I think I mentioned earlier that, the creation of the unified platform is a 2012-2013 initiative.
Frank Coyne: It is often the case when we do these acquisitions that we see opportunities to invest in these companies once we own them for them to realize their full potential. So it could take a while depending on the particular acquisitions to start achieving the scale that we see in the acquisition when we buy it.
Eric Boyer - Wells Fargo Securities, LLC: And then just finally on cash flow conversion, the year was below your usual range, you did some technology upgrade in the CapEx related acquisitions, you talked about continued investment. Where do you expect that range to be for 2012?
Mark Anquillare: Let me just give a little bit of a clarification, and I agree to your point, the first is that, from an operating cash flow perspective we delivered about 12% or less than 12% from an operating cash flow. Remember the pension works against us. We've been funding the pension, and that increase probably hurt us and in fact that out would be a little less than 14%. So going forward, I don’t think we've anything that would preclude us from thinking differently about kind of that operating cash flow. I think what has happened, we gave you some guidance as to what we think CapEx would be in 2012, which was $75 million that in our K. Other point I want to make, as you think about all this, we’ve talked about funding some of the or I guess accelerate funding, some of the liabilities inside the pension to the extent that we did that, it would be kind of a one time hit to operating cash flow the way it works, but then that would be behind us. We think it’s a thoughtful and good investment. So that is the one exception there or one item I want to just call out for 2012.
Eric Boyer - Wells Fargo Securities, LLC: Thanks a lot.
Operator: Next question comes from Bill Warmington from Raymond James.
William Warmington - Raymond James: Good morning and congratulations on a strong quarter.
Frank Coyne: Well, thank you.
William Warmington - Raymond James: It seems that insurance companies are becoming increasingly concerned about renewals and their property insurance books, because the market value is below replacement value for some of the properties and the velocity that new sales is down so much. I want to ask, how that – what opportunity that presents for you guys?
Frank Coyne: Well, one of the opportunities it presents is that, our 360 value tool, you the concern is getting insurance to value and which is totally different than market value.
William Warmington - Raymond James: Right.
Frank Coyne: So, the use of our 360 value tool is very important and useful to these companies as they’re trying to distinguish between those two issues and make sure that they’re getting the proper, what’s called coverage A amount. So we think it just opens up an opportunity for us to, well further penetrating in that area.
William Warmington - Raymond James: Okay. And Mark, you mentioned the guidance on the $75 million for CapEx for 2012. I just wanted to ask what you -- when you look at that as a percentage of revenue, what parameters you’re thinking of? It’s been moving up, and I wanted to know if that’s a short-term phenomenon or whether that’s going to be kind of the level, about 5% of revenue going forward?
Mark Anquillare: Well, I think what we have seen is in 2011 we did do some periodic upgrades to our computing platform both here and in Salt Lake City area. So those are two items I’d guess primarily because of the volume and the growth and exact where that’s probably ongoing, the Jersey City was periodic which is kind of a one-time. Other point I'll make is, Scott, talked about the unified platform and some of the things we’re doing to kind of bring these things together, and to bring those things together it does cost us some money. So I think 2011 was for the most part, a little higher than the norm, and $75 million I think is kind of more inline with, just kind of moderate growth. So I hope that’s clear enough, but I’m just not going to comment on this.
William Warmington - Raymond James: All right. One more question for you is, I just wanted to ask how the M&A pipeline was looking. You guys had been sort of quiet in that front.
Frank Coyne: Quiet on -- perhaps quiet on finalizing, but not …
William Warmington - Raymond James: On public – exactly, your public announcements, right?
Frank Coyne: Yeah, not quiet on our activity and evaluation of opportunities and it’s -- it’s an ongoing process.
William Warmington - Raymond James: Okay, excellent. Thank you very much.
Frank Coyne: Yes, sir.
Operator: Next question comes from Andrew Jeffrey from SunTrust.
Andrew Jeffrey – SunTrust Robinson Humphrey, Inc: Hi, good morning. Nice quarter guys. Healthcare within DA was clearly a bright spot in the second-half of the year, and it seems like you reached a tipping point either in the delivery of your products, introduction of products, customer uptake, maybe some combination there of. Can you just talk about sort of the steepness of the curve as we go into to ’12 recognizing as you said, Mark that it’s kind of going to be more back-half weighted. I mean, did we see sort of the kink in the curve in the second-half of ’12 and we’re at a sustained or ’11, we’re at a sustainable level or does that trajectory or the slope of that curve remain pretty steep as we go into ’12?
Mark Anquillare: Let me open it, and maybe, I’ll let Scott flip. Let’s focus separate from the acquisition, just focus on the organic growth. I think …
Andrew Jeffrey – SunTrust Robinson Humphrey, Inc: Right, that’s what I’m referring to in particular.
Mark Anquillare: .. we’ve been talking about the fact that we were signing contracts and that was about implementation. We saw 25% organic growth in 2Q. We saw 30% organic growth in 4Q. So it has been the implementation and sales that had been realized. Now I would not keep that curve growing like you would, but I think it is sustainable and its good news. This is just kind of an opening.
Scott Stephenson: Right. I mean, rate of customer adoption is something that we live and die with every day and our customers are sophisticated and they go through long evaluations of our solutions, but – sort of the context here is that, if we were to fully penetrate our – and we’ll talk about this more in Investor Day. We were to fully penetrate our existing customer base with all of the solutions that we got in the healthcare universe, is that represents multiples of our current run rate revenue. So it’s really on us to present our solutions and help the customers, find a value and then be efficient in getting them implemented. But in general, we’re still essentially in the same position we were later half of 2011, in terms of the amount of opportunity we’ve got relative to the book of business we currently got.
Mark Anquillare: And just to cap that point, the fact that and we do add any acquisitions, the HRT nature of the business is all that were back-end loaded, we talked about 70% of that revenue being moved towards third and fourth quarters as opposed to first and second. So that’s the next layer of healthcare modeling they need to do, so I just want to make sure we’re clear there.
Andrew Jeffrey – SunTrust Robinson Humphrey, Inc: Right, right. Now that’s helpful. And then with regard to the insurance solutions cross-sell where you’re clearly also enjoying success. Was there, -- should we think about an acceleration in momentum in the back-half or is that, and something that can carry on into ’12 or is that more of just steady grind-out the cross-sell and sustain above average or above company average organic revenue growth in DA as a consequence. I am just wondering if we reach a similar kind of tipping point insurance or if that’s less -- looks less like healthcare?
Frank Coyne: I don’t think we see it as a tipping point. There are good things happening inside of the business. We referenced earlier that the catastrophe modeling category has been performing strongly for us. In our view that’s basically the market responding to the depth and quality of the science that we've been bringing to this marketplace forever basically. We've always felt that our science was distinctive. We seem to have come to a moment in the marketplace where the customers are even more aware of that and maybe more waiting their buying decisions according to that. And then we have referenced, we continue to reference the fact that some of what we do in the DA side of insurance is related to climate conditions, and 2011 was pretty robust in terms of not mega catastrophes, but a lot of storm activity that just raised the demand for some of the estimating that – as [estimatics] that we provide. So, there were some factors that work in 2011 that we see as much more sort of we’re building strength for the long time and we think that the strength is being recognized, but to call it a tipping point, I think with over – sort of overstate what happened in the latter half of 2011.
Andrew Jeffrey – SunTrust Robinson Humphrey, Inc: Okay, let’s not hope for too many mega catastrophes, right?
Frank J. Coyne: Yeah.
Andrew Jeffrey – SunTrust Robinson Humphrey, Inc: And then one last one if I might, again, just to drill down and make sure I understand, in the DA margin you’ve three quarters in a row north of 40%, are the investments you’re making in ’12, will they be expensed, should we think about that 40% level is maybe the right long-term margin, but in the short-term look for it to potentially come down a little bit?
Mark Anquillare: So, let me take that for you, so two things. First of all, our investments primarily kind of focused on Decision Analytics is in people. Some times it kind of gets into hardware and software for the most its people. A majority of that people cost is expensed inside of our P&L. So, there is a piece of that that you’re already seeing in the margins, and as we continue to ramp that investment, yeah, that will kind of have an offset. The other part of that is in CapEx, okay? So as you think about CapEx, you’re seeing that number go up, that’s capitalized in terms of software. So I think in most of our businesses, you’re going to see kind of a consistency to the margins offset by what is happening in mortgage and probably some margin erosion there.
Andrew Jeffrey – SunTrust Robinson Humphrey, Inc: Okay, that’s helpful. Thanks.
Operator: Next question comes from Michael Meltz from JPMorgan.
Michael Meltz – JPMorgan: Yeah, thank you. Three questions, Mark, just – can you just tell us simply margin was 44.4% in ’11, do you expect it flat, up or down in ’12, please? And then I’ve two follow-ups.
Mark Anquillare: I think we feel that we’re going to continue to drive strong margins. I think we feel that we’re going to continue to drive earnings as we’ve faster than top-line growth and all of that factors into how much investment and what kind of acquisition happens. So, our people feel comfortable at where we’re. I feel we’ve demonstrated somewhat nice operating leverage and margin improvement over time. And I think we’re on path to continue to execute.
Michael Meltz – JPMorgan: And then you grew, organic growth was 7.6% in the second half and for the full-year, as you look to ’12, given all the moving pieces, where are you – how should we think about organic growth relative to that rate? I know there is only a tail of the acquisition; potentially all are mostly organic anyway.
Mark Anquillare: Well, as I say, we don’t typically give a lot of specificity. I think we feel good with our business. I think -- we think we’re feeling good about the margin we’ve seen -- the organic growth that we delivered over the course of the 2011, I think there is some strength there offset by some unknowns with regard to mortgage. And that’s the one thing that probably is a little bit more difficult to predict.
Michael Meltz – JPMorgan: And then on mortgage, are you at a point where mortgage – or when do you get to a point where mortgage is evaluated as a divestiture candidate?
Scott Stephenson: Well, our first priority is to take the fine assets that we’ve got and try to make some as market-ready and valuable to our customers as we possibly can. And that’s the focal point.
Frank Coyne: Yeah, Michael, as we observed in some of our remarks, we’re and have been working to maximize the capabilities we’ve within mortgage, not just for our mortgage customers, but for a broader sect section of the financial services industry. So we think we’ve got valuable assets there that have potential.
Michael Meltz – JPMorgan: Okay. Thank you for your time.
Frank Coyne: Yes, sir.
Operator: Next question comes from Suzy Stein from Morgan Stanley.
Suzanne Stein - Morgan Stanley: Hi. In the specialized markets business, you noted that government budget delay is affected Q4. Should we expect that to reverse in Q1 or are the delays continuing?
Mark Anquillare: Suzy, this is Mark. The budgetary delays I think have been generally worked out. It was kind of more of a – towards the end of second quarter into third and a little bit into October. So I think we’ve worked through those now.
Suzanne Stein - Morgan Stanley: Okay. And I know the risk assessment business is sensitive to the P&C cycle, but how sensitive is the insurance piece of Decision Analytics, would you expect a substantial pickup in new business as the cycle improves?
Scott Stephenson: It’s not as sensitive. The general climate of the industry certainly sort of conditions customers to – and their willingness to make investments in new solutions, but if there is not the same direct link as that there is end of the pricing mechanism, that’s a part of risk assessment.
Suzanne Stein - Morgan Stanley: And then, can you just address your plans for hiring in 2012?
Scott Stephenson: Yeah, kind of steady as it goes, I mean basically inline with the growth that we see in the business. I mean we’re pursuing the same business model, which is a highly leveraged approach where we’re creating industry standard solutions and selling them hopefully many, many times. So, we’re extremely alert to how much we’re adding to our team and the places where there will be growth -- will essentially be inline with where the growth in the revenue is going to occur. But I mean there is nothing fundamentally changing inside of our business model.
Suzanne Stein - Morgan Stanley: Okay. Thank you.
Operator: Your next question comes from the line of Kelly Flynn from Credit Suisse.
Kelly Flynn - Credit Suisse Group: Thanks for taking my question. I just have a couple, so, I’m just trying to figure out how optimistic we should be that risk assessment growth will accelerate in fiscal ’12 due to the improvements in P&C premiums? I recognize that your pricing changes depending upon what goes on with premiums. So, if industry standard did 4.9% growth, which is pretty decent this quarter. So in what type of growth can the subscription portion of risk assessment put up in fiscal ’12 as it benefits from P&C premiums improving?
Mark Anquillare: Kelly, let me first just make sure, I remind everybody of the timing. I think what we started to see towards the end of 2010, but really in 2011, that’s were some hardening of the market happens. So some prices started to increase and hopefully the premium had an increase in ’11. Those ’11 changes won’t affect us until 2013. It’s basically a bit of a two-year lag. So in 2010, industry premium was still negative, better than, but still negative. So I think what we’ve always tried to do is, is try to keep things more moderated with regard to increases because we’re sensitive to customer needs and we also want to make sure that we’re first and foremost, they thinking about us for buying other products. So ’10 was not a great year from an industry standard and from a premium perspective in the industry. It will be really ’11 which will have kind of future benefits for us.
Kelly Flynn - Credit Suisse Group: Okay. But I guess, what I’m getting at is, I mean, 5% growth for industry standard is pretty good growth. Its – and it’s not that different from your historical norm. So, I mean, as the market – as you start to benefit from the hardening of the market, lets say, potentially in fiscal ’13, do you expect that to be more or like high single digit growth or will kind of your pricing decisions to offset that, and that will continue to be mid single?
Mark Anquillare: I think historically our pricing decisions has moderated some of that.
Kelly Flynn - Credit Suisse Group: Okay. That’s fair. And then just a second question, I know Michael Meltz asked about organic growth for fiscal ’12, and you didn’t get into a lot of detail, but I mean last quarter you made a very helpful comment about Q4 organic growth expectation. So I was wondering can you at least talk about Q1 organic growth, I mean, if we ex-out mortgage, do you think something similar to the 9.6% is what we should be thinking about or there are some incrementals that could weigh on growth a bit versus Q4?
Mark Anquillare: Kelly, I’d love to answer your question, but I mean we really do try to think more a long-term than we do next quarter. So, I think we feel good about where our business is, I think we feel that we have the right type of momentum and its not I’m not answering, but I hope you respect that our view and our vantage point is what’s really create the value long-term and that’s we preferred to follow.
Scott Stephenson: I’ll just add that in the external environment there is nothing that’s moving around that would cause us to think differently about our business or our opportunity.
Kelly Flynn - Credit Suisse Group: Okay, that’s fair. Thanks a lot.
Operator: Next question comes from Robert Riggs from William Blair.
Robert Riggs - William Blair & Company, LLC: Hi. Thanks for taking my question. I just wanted to go back to Mark’s comment about the international expansion. I know there are certain things you do, for example, like healthcare that are little tougher that translates into international markets, but it would seem like supply chain would be something that on a global basis would fit pretty well, is that kind of a key element of growing the international part of the business or are there other things that we should kind of keep an eye on?
Frank Coyne: Yeah, that’s a good question. And you started out in the right place also. Supply chain is just born as a global business, and even today, a fair fraction of what we do in the environmental health and safety space inside of the supply chain is non-domestic. And we do have focus on that. We’ve made some changes in terms of our go-to-market strategy in Europe and Asia in that part of our business. So, yes, that is a focal point. Its hard work, but we’re up for it. There are two other parts of our business that I’d point to, one is the catastrophe modeling discipline is also by its very nature global. One big customer said, is the global reinsurers, they’re thinking about apparels anywhere that there are assets that have risk, and in fact one of the things that we’re looking to do is to leverage some of the business development resources that have sort of growing up inside of our catastrophe business, but perhaps can represent other parts of our product mix. And then thirdly, while sort of the idiosyncratic nature of markets means that some of what we do doesn’t travel all that well across national boundaries. It’s more of a case that the claim is a claim and so, some of our businesses which are claims-oriented, I think for example, the [estimatics] business, we actually have plans of the flag over in Europe and we’re looking for opportunities to spread that out. So, we’ve a lot of attention on it. I think that the amount of energy that we’re going to put into it is probably going to exceed the rate at which it shows up in the P&L for some time because it’s just that -- it’s a long development sort of an activity, but we’re purposeful about the overseas markets.
Robert Riggs - William Blair & Company, LLC: Great. And if I could just ask one quick follow-up on cross-sell in healthcare, it’s got in the path, I think you’ve broken out the solutions across the buckets around population management and performance measurement and then kind of compliance and payment integrity. But also know that you kind of compete with different players in each one of those buckets. As you get some scale in bulk of all three of those capabilities do you get a competitive advantage by offering your clients kind of a comprehensive solution that will enable cross-sell or there are other things as the unified platform, is that kind of key to the cross sum?
Scott Stephenson: Yeah, again a very fine question. So just a couple of things one is, each of the solutions needs to be excellent on its own and we give that a lot of attention. And the performance and the results that you’re seeing are primarily a product of each of the solution sets being on their own highly valuable and very competitive against other offerings. But that said, yes, we do get advantage as we penetrate more broadly. I mentioned before a unified account management approach which definitely is meaningful in front of the largest accounts. And then again I’d point back to the unified platform which we really do believe will make us unique in the sense that the vision is once you are using one of our products since the underlying data infrastructure is common across all the solutions, it’s relatively easy for a customer to then turn on the next solution. And we do believe that that capability will make us unique. So it’s a great question and so in the near-term, yes, the whole is greater than some of the parts, I think particularly as it relates to facing off with the customers and in the long-term we can stream together more of the intellectual property assets to be flexible and more inventive.
Robert Riggs - William Blair & Company, LLC: Great. Thank you.
Operator: Next question comes from Kevin McVeigh from Macquarie. Mr. McVeigh, your line is open.
Kevin McVeigh – Macquarie Research Equities: I apologize. I wonder if you could just give us a sense with the economy firm in a little bit. Does it change kind of the multiples you’re thinking about in terms of acquisitions, in terms of what people are looking versus what you are willing to pay, how we should think about that on a go-forward basis?
Scott Stephenson: Yeah, it doesn’t change our method for assessing acquisitions one bit. We are using exactly the same methodologies that we’ve used in the past. And what – and actually what we start with and we’ve mentioned in the past that we really are very disciplined on the acquisition side. The stream of opportunities that we assess versus the ones that we ultimately execute against is – the first is much larger than the second and that’s always been the case. In the current environment I’d say that probably marginally sellers are a little more inclined to perhaps going to processes. But it’s not really very different than it has been over the last several years, and in any of that we are not -- we are not referencing the macro environment when we are thinking about what it is that we are looking to do which is to derive from our strategy or what we are willing to pay which is really related to our evaluation methodologies. None of the -- none of the assumptions, none of the parameters inside of our models have changed, and I don’t believe they will.
Kevin McVeigh – Macquarie Research Equities: That’s helpful. And then is there a way to quantify what the impact of the acquisitions on an overall margin basis will be in 2012? As we think --.
Mark Anquillare: The ones that we’ve already done?
Kevin McVeigh – Macquarie Research Equities: Yes.
Mark Anquillare: I don’t think you will see comparing ’12 to ’11 I don’t think there is any adjustments that need to be made. I think we just simply roll forward and we are normalized on a go-forward basis. That may answer your question properly.
Kevin McVeigh – Macquarie Research Equities: Yes, thank you.
Operator: Next question comes from the line of Bill Clark from KBW.
William Clark - Keefe, Bruyette, & Woods, Inc: Hi there. The color on seasonality in HRP revenues was helpful. Just as far as in annual run rate at the time of the acquisition you talked about 15 million to 20 million number for that business in 2010. Could you just give an idea if we’re still in that range or 2011 was significantly above that?
Mark Anquillare: Well, not substantially. But we did experience like we expected growth there, so which was reasonably strong growth, nothing outrageous. And I think then take about 70% of that and allocated towards the latter half of the year.
William Clark - Keefe, Bruyette, & Woods, Inc: Okay, great. Thank you.
Mark Anquillare: Sure.
Operator: There are no further questions at this time.
Frank Coyne: All right. Well, thank you very much. I want to thank everyone for joining us today for our fourth quarter and fiscal year 2011 results. We appreciate your support and we look forward to seeing you at our Investor Day Conference or visiting with you again next quarter. Thank you and have a good day.
Operator: This concludes today’s conference call. You may now disconnect.